Operator: Thank you. Good morning everyone and welcome to the Intrawest Resorts Holdings Fiscal 2015 Third Quarter Earnings Conference Call. After our prepared remarks, there’ll be a brief question and answer session. I would like to remind you that some of the comments made by management during the conference call contain forward looking statements that are subject to risks and uncertainties that could cause actual results to vary, which are discussed in our public filing filed with the SEC including reports filed under the Securities Exchange Act of 1934. We caution you not to put undue reliance on forward looking statements. Forward looking statements made during this call speak only as of the date of this call and we undertake no duty to update or revise these statements. In addition, some of the comments made on this call may refer to certain measures such as adjusted EBITDA, which are non-GAAP measures. Although adjusted EBITDA is not a substitute for net income or other GAAP measures, management believes adjusted EBITDA is useful in measuring the operating performance of our business. For a full reconciliation of adjusted EBITDA to GAAP results in accordance with Regulation G, please see our press release furnished as an exhibit to our Form 8-K dated May 7, 2015. Additionally, please note that we have made immaterial revisions to prior period financial statements in the Form 10-Q filed this morning with the SEC. These filings and the presentation that accompanies today’s call are located in the Investor Relations area on our Web site at www.intrawest.com. Our call today will include remarks from Tom Marano, Chief Executive Officer, and Travis Mayer, Chief Financial Officer. I would now turn the call over to Intrawest’s CEO, Tom Marano.
Thomas Marano: Thank you Liz and welcome everyone. Our fiscal third quarter is by far the largest and most important quarter of our year and we’re very pleased with our result. We finished the quarter with total segment revenue of $320.3 million, up 12.7% relative to the prior year period and adjusted-EBITDA of $156.4 million, up 9.9% relative to the prior year period. Our growth was primary driven by the mountain segment, which enabled us to overcome headwind from the Canadian dollar. Based on preliminary industry report, we’ve successfully grown market share for our second season in a row. Through April, we drove skier visit growth of 1.2% versus a 5.2% decline in the industry average during a challenging season characterized by below average snowfall in most regions. This result demonstrates the power of our geographic diversity, the quality of our resorts and the importance of our season pass program. More specifically, our Colorado resorts helped skier visits flat compared to a 2.1% decline in the regional industry average and our eastern resorts increased skier visits 2.1% compared to 1% decline on average [indiscernible]. In September of this year, we acquired the 50% interest in Blue Mountain Resort that we previously did not own. During the third fiscal quarter, the Canadian dollar was 12.7% weaker relative to the U.S. dollar versus the prior year period. Given the substantial impact that FX and the acquisition of Blue had on our financials in the third fiscal quarter, I will reference several same-store metrics that were calculated on a constant currency basis and is 100% of Blue Mountain was owned during all period. For comparative purposes, we believe the same-store metrics are useful in analyzing the true underlying performance of our business. Mountain segment revenue grew by $43 million or 20% in the quarter, while we benefited from the successful acquisition and integration of Blue, we also drove strong same-store result. On a same-store basis, mountain revenue increased 6.5% relative to the prior year period. With the operating leverage inherent to our business model, that revenue growth translated into healthy margin and same-store mountain adjusted-EBITDA growth of 9.9% over the prior year period. Our growth was the product of both volume and price increases with same-store skier visit up 2.6% and same-store revenue per skier visit up 3.9% in the quarter. We drove revenue growth across all lines of business within the mountain segment and we are seeing the impact of our gross capital resort improvement and a general willingness of our GAAP to spend more on their vacation. Our season pass as the frequency product sales continue to be an important component of that growth. For the third fiscal quarter, we grow our season pass and frequency card sales by approximately 15%, which build on the over 18% growth achieve in the prior year period. Season pass and frequency product revenue represented approximately 39% of our lift revenue through March 31st, up from approximately 36% of our lift revenue during the same product last year. While we have experienced season pass and frequency product growth throughout our portfolio of resorts, Colorado season pass sales were especially strong. We believe the significant growth in Colorado demonstrates the value of our product offerings and the benefits of our strategic alliances. In Colorado, our flagship product for Denver and the other Front Range study is the Rocky Mountains Super Pass Plus, which allows pass-holders access to not only our owned resorts, Winter Park and Steamboat but also our partner resorts, Copper Mountain, Crested Butte, and Eldora Mountain. While we are still actively prevailing resort acquisition, we are also pursuing a capital-light strategy that provide some of the revenue synergies, we would expect from strategic acquisition without committing significant capital. The success of the Rocky Mountains Super Pass Plus has taught us that by partnering with other resorts, we can offer skiers exciting new Multi-Mountain product with undeniable value without the large expense of acquisition. For the 2015, ’16 ski season we look to build upon the success of the Rocky Mountains Super Pass Plus with the introduction of the M.A.X Pass. Our product design primarily for the Eastern market, we are partnering with Boyne and Powdr resorts on the M.A.X Pass to give skiers access the 22 unique and legendry mountains across North America. Some of these mountains include our resorts Stratton and Tremblant along with our partner resorts Killington and Sunday River and our resorts such as Steamboat and Winter Park as well as our partner resorts Big Ski and Copper Mountain in the West. The M.A.X Pass provides five days at each of the 22 resorts for a total of 110 days on the [indiscernible] with no black out days. Based on our estimates and industry data, in the Stat of co Colorado, a remarkable 60% of the approximately 550,000 active skiers five seasons pass each year. While in the Northeast, we estimate only about 20% of the over 2 million active skiers bypasses each year. We believe the lower level of pass ownership in the east is due the lack of a compelling Multi-Mountain pass products. The M.A.X Pass intends to fill this gap by providing eastern skiers the same level of value and flexibility available to Colorado skiers by not only offering 11 renowned mountain within driving distance of the major cities in the Northeast but also 11 destinations in the West making as possible to take both weekend trip close to home and longer destination trip on one pass. This season, we’ve had great success with our food and beverage improvement. And we believe F&B project represent an opportunity for additional high return capital investments across our resorts. Looking ahead to the 2015-2016 season, we are excited to announce our plan capital improvements. The largest of which is the renovation of the Stratton based lodge. The existing Stratton based lodge has been the heart of the base village for over 50 year. The renovation will modernize and improve the ambiance of the facilities and add 400 new seats. The base lodge will be complete for the 2015-2016 ski season and we’ll provide greatly enhanced guiding option to our guest by introducing several new upscale, quick serve dinning concept developed and proved successful at Steamboat and Winter Park. Having visited each of our resorts and evaluated each market, I’m now even more optimistic about the opportunities to monetize our land in the future through development on our own, land contributions to development partnership for outright parcel sale, additionally recent gains on land sales at Tremblant, further demonstrates the value of our landholding. In the third quarter of fiscal 2014 we sold a small part of our land in Tremblant for a gain of $700,000 and in the third quarter of fiscal 2015 we sold another part of land in Tremblant for a gain of 1.4 million. We determine that these two parcels were not essential to our future development plan and elected to monetize their value via sale rather than development. We believe the best initial opportunity for developments were likely to be at Steamboat and Winter Park. Winter Park in particular is benefiting from its proximity to Denver which is one of the fastest growing cities in the country. Recent real estate trends also indicates that these markets are coming back with the average price per square foot for condos and townhome up over 6% at Steamboat and over 8% at Winter Park versus the prior year while inventory at each is down over 30%. The Steamboat and Winter Park market have both observed nearly all the newly built inventory and with the scarcity of the recently built high end product prices are beginning to decline. As a result, we believe now is the time to update our master plans for both resorts, refresh the appropriate entitlement and prepare for the first phase of development. However, we know this will take time and we want to make sure we move deliberately and properly to ensure success. To that end, we’ve engaged a real estate design firm to help develop our master plans at both Winter Park and Steamboat with a focus on growing and improving the bad debt, resell operation and food and beverage. Execution of these master plans along with improved programming and activities will truly transform the base villages at each of these iconic resorts. We believe this transformation will help us not only grow real estate profits but also applies substantial revenue growth within our base areas and on-mount operation. We planned to take phased approach that will give us flexibility for real time adjustment to design as market phase and demographic change and to adjust the timing of individual project to meet the demand. As we finalize plan, we will determine the highest return project to launch our redevelopment, targeting shovels in the ground as soon as December of 2016. I’d now like to turn the call over to Travis for more detailed discussion of our segment operating results.
Travis Mayer: Thanks Tom and good morning. As Tom mentioned, we had a very strong fiscal third quarter particularly when viewed on the constant currency basis, and approximately 40% of both our revenue and expenses are derived from our Canadian operations where our subject to foreign currency translation adjustment based on the U.S. to Canadian dollar exchange rate. During the third fiscal quarter this year U.S. to Canadian dollar exchange rate averaged 1.24 versus 1.1 average during the third fiscal quarter of last year. The weaken Canadian dollar and non-cash currency translation adjustments unfavorably impacted our fiscal third quarter total segmented revenue by $14.6 million and adjusted EBITDA by $6.5 million relative to prior year period. Also, since acquired the remaining 50% of Blue Mountain that we did not previously owned in September are result have included 100% of skier visit revenue and EBITDA from Blue Mountain whereas in the prior year period our then-50% interest in Blue Mountain was accounted for under the equity method and our results included only 50% of Blue’s EBITDA and none of Blue’s skier visits or revenue. Given the substantial impact that FX and the acquisition of Blue add on our financial, I will reference that several things to metrics that were calculated on a constant currency basis and is at 100% of Blue Mountain was owned during all period. In the fiscal third quarter, we had total segment of revenue at $320.3 million which represents 12.7% growth over the prior year period. On a same store basis, total segment of revenue grew 4.8%. Our revenue growth is driven by the Mountain segment and partially offset by lower revenues in the adventure and real estate segment. Our total adjusted EBITDA for the quarter was $156.4 million, which represents an increase of 9.9% over the prior year period. On a same store basis, adjusted EBITDA grew by 8.4%. In the mountain segment, revenue grew $43 million or 20% relative to prior year period. On a same store basis, mountain segment revenue for the quarter increased by 16.4 million or 6.5%. We are especially pleased with these results given the below average snowfall in Colorado and the prolonged period of extreme cold in the East during February. As Tom discussed, the success of our season pass and frequency product sales played an important role in overcoming challenging weather conditions that [indiscernible] Relative to the third fiscal quarter last year we have same stores skier visits growth of 2.6% and same store mountain revenue per skier visit growth of 3.9%, which was driven by our successful price increases and our guests' continued willingness to spend during their vacation. As a result, we enjoyed same store growth in all lines of business within the mountain segment, the lift revenue up 8.2%, fee school up 7.8%, retail and rental up 7.5%, lodging up 2.9%, food and beverage up 2.1% and other revenue up 4.3%. Now the adjusted EBITDA increased $16.5 million or 13.9% relative to the prior year period. On a same store basis, non-adjusted EBITDA grew $12.6 million or 9.9%. This growth and same store adjusted EBITDA represents approximately 77% growth grew of the 16.4 million of same store revenue growth. The high level flows were demonstrated the positive operating leverage in our mountain operation and our potential for further margin expansion in the future. In the adventure segment revenue for the fiscal third quarter decreased by 5.8 million or 11.5% while on a constant currency basis it was substantively flat. Strong demand from our loyal guest and CMH allowed us to overcome incredibly challenging conditions in British Columbia this season. Adventure adjusted EBITDA for the quarter decreased by 3.4 million or 17.9%, while the constant currency basis it was only down by 1.1 million or 5.8%. In the real estate segment revenue for the quarter decreased by 1.2 million or 6.6% while in a constant currency basis it was only down by 700,000 or 3.9%. This is due to modest increases at our vacation club business and our IHM Property at [indiscernible] partially offset by the sale of the partial land at Tremblant that Tom previously mentioned. Real estate adjusted EBITDA for the quarter grew by approximately $900, 000 or 22%. On a constant currency basis, real estate adjusted EBITDA grew by 1.1 million or 26.2%. This growth was largely the result of the profit on the land sale at Tremblant. On a GAAP basis our net income for the quarter improved by 19.2 million compared to the prior year period. This improvement was largely due to our strong operating results. Shifting gears to capital expenditures, CapEx for the third fiscal quarter was approximately 900,000 lower than the prior year period due to a difference in the timing of project relative to last year. Going forward, we will provide guidance for capital expenditures on a calendar year basis instead on a fiscal year basis. The majority of our resorts capital investments are made during the summer months once the operations are closed and the weather allows for on mountain construction and resort infrastructure maintenance. Transitioning to a calendar year for capital planning provides us the flexibility to begin capital projects as soon as possible following the end of the ski season and the budget of entirely of most projects within one planning period. For the calendar year 2015, we planned to spend between $33 million and $34 million of maintenance capital and between 8 and 12 million of growth capital consistent with the ranges provided for previous fiscal year capital guidance. On May 1st, we embedded our term loan credit agreement with the consent of a majority of our lenders to reduce our applicable margin by 75 basis points. With the principle balance of approximately $593 million and current interest rate, this margin reduction will reduce our annual interest expense by approximately $4.4 million with the commensurate increase to free-cash-flow. Lastly, we’d like to reiterate guidance for our full fiscal year 2015. Year-to-date, our businesses have performed in line with our expectation and we expect total segment revenue for fiscal year 2015 to be in the range of $552 million to $577 million and segment adjusted-EBITDA to be in the range of $103 million to $108 million. GAAP net loss is still expected to be in the range of $9 million to $19 million. With that operator, we’d be happy to take any question.
Operator: Thank you. At this time, we will conduct a question-and-answer session. [Operator Instructions] One moment please, while we pull for our first question. Our first question comes from Shaun Kelley with Bank of America Merrill Lynch. Please proceed with your question.
Shaun Kelley: I just wanted to follow up Tom. I thought it was really interesting in your prepared remarks about preparing for some new development in Steamboat and Winter Park, so I guess the question first of all would be any sense of magnitude that you could provide as it relates to the development opportunity there. And then the second part to that would be, how would you think about financing such an opportunity as this something that we viewed as on balance sheet off balance sheet and are we thinking about capital partners here or something that would be the company would generally pursue on its own?
Thomas Marano: Thanks Shaun. First of all, I want to apologize everyone for the technical difficulties. Yes the music was interesting not necessarily my taste [indiscernible] I felt like I was back in high school. But as far as the development is concerned, I think there is a lot of opportunity both in the retail and F&B space to reanimate the central areas of all – many of our villages, but in particular what we’re going to be doing is we’re working with a design firm that is going to take into account the demographics of our visitors and help us rethink how we should be doing that given there’s been quite some time since we’ve approached it in the past. So I really want to let that work product get completed before I comment on what we’re going to do in particular, but again it’s going to be around retail F&B and [indiscernible]. We need to address all those issues. With respect to how we’re going to finance it, it’s really going to depend upon the product – pardon me, the project and the opportunity of a given project. My personal view is there’s a lot of money out there that if you put the right project out and seed it yourself with some of your own equity or seed it with the real-estate or do a combination of both, you can find investors who want to participate with the on the equity side. And as far as the capital structure, we’ll evaluate [indiscernible] the most efficient capital structures that are possible in the capital markets to get it done. So we’re going to be flexible. We are going to use our capital diligently and we’re going to act in a prudent way, but the goal is to frankly capture a high return if we can get it and as much of that is possible.
Shaun Kelley: And then I guess, could you just remind us and I don’t know if this is – to what level you can give us detail on the call, but just I think we have a broad sense of how much raw land and opportunity that Intrawest has, but can you help us understand or maybe size those down a little bit for what is available either in Colorado or at those two mountains in particular?
Thomas Marano: Sure, there’s about 20 acres in Steamboat. There’s other land that we own. There’s other land that is available for sale in the Steamboat area. And Winter Park is actually quite a bit larger, I think it’s probably, last time I counted, I got it about 70?
Travis Mayer: I don’t know the exact acreage but we either owned or have option to purchase all of the adjoining land around the bay. I mean we carry roughly $140 million worth of land on the balance sheet and about half of is between Winter Park and Steamboat.
Chris Woronka: And I guess the last question, still stay on this topic then is if you mention retail on F&B upfront, why you kind of discussed residential and some of the pricing here, doesn’t sound like first and best use is like a pure residential opportunity, would that be a fair way to characterize what I’m hearing?
Thomas Marano: Not necessary at all. To be quite honest, the F&B and retail in some ways I think is easier to do and may happen first. But the residential is I think quite the opportunity. In Winter Park, you’ve got really, really good proximity to the Denver area and while some people think an hour and half is not staying up there over the weekend, there are a lot of people who want to do and we need to get more beds for that. So I think there is good opportunity for residential, I think there is good opportunity for hotels, quite frankly at Winter Park. And at Steamboat I would say, it would probably be a combination of residential and hotel, maybe you do condos on the top of the building and then you do hotel in the middle, kind of a typical modern project that you would see happening these days in the residential and mixed use development fields.
Operator: [Operator Instructions] Our next question comes from Joe Edelstein with Stephens. Please proceed with your question.
Joe Edelstein: Great, thank you for taking the question this morning. You did mention the growth in skier visit that have been above the industry trend. Are you seeing those gains really as a result of your cross-selling efforts really leveraging the customer data base that you’ve been building up?
Thomas Marano: I think it’s coming from the frankly the season pass program we put out there. And also through an improved marketing strategy and leveraging our data base.
Joe Edelstein: So still sounds to me that a lot of the customer data base and kind of… [Audio Gap]. … too early to tell, we’ve not going to give numbers yet on the M.A.X. pass sales stuff. It’s really targeted to each skiers and the vast majority of the past sign happens in the fall in that market anyway. As far as the five day limit, who knows what we might we doing in the future with certainly consider that. The roll at the five day limit plays a very important is that it protect the more expensive stand alone mountain passes, they’re particularly in each skiers, we sell lot of passes to second home owners for a $1000 or there about lot of days. I mean you can ski a lot on these passes, so we didn’t want to cannibalize those more expensive products with M.A.X. pass which is just at 99. So both side is future protected.
Travis Mayer: That said there is an upgrade from your standard resort pass, season pass and that upgrade feature in my opinion is actually very good value because if you think about someone who skies at their home resorts, they usually have friends at the nearby resorts. So, if you need to ski while you might be very loyal to Stratton, you definitely will wonder off and skiing in some of the other mountains in the area and for couple of hundred bucks you have the opportunity to do that and then go out west. So, it’s a really good deal for someone to upgrade too as well as should buyout rate as you’re not attached to home resort.
Unidentified Analyst: That’s definitely helpful and if I can ask one more, maybe shifting gears over to the adventure segment I was just hoping for some update in that business, there are opportunities with the helicopters support possibly this summer fire suppression activities or no pass without those contracts, I guess who we kind of consider the calendar 2015 timeframe is kind of the trough year for the business?
Thomas Marano: What I would say about that is I do think there will be opportunities this summer, obviously I can’t predict whether or not there is going to be fire but it was dry in a number of parts of country so that is good for our helicopter business. The other thing is that we’ve made some employee changes up in the portion of the business that we control and we are going to be much more flexible with how we use those aircraft. So, I’m very optimistic that we can make some progress there and get that to be a better business in the summer.
Unidentified Analyst: It’s good to hear Tom, and good luck on all the projects this summer.
Thomas Marano: Thank you.
Operator: [Operator Instructions] Our final question comes from Asua Ahwoi with Goldman Sachs. Please proceed with your questions.
Steven Kent: Hi, it’s actually Steven Kent coloring for her. So, two questions, one can you just broadly talk about the acquisition markets, how many resorts are you in conversation with and could you even do something before the ’15 – ’16 winter season. And then another question would just be on international travel towards the end of the season and expectations for next year, did you see FX having any impact on your pay on as desire to come to the U.S. because of the FX?
Travis Mayer: So, the acquisition question first, we continue to be in discussions with a lot of folks and I personally cannot put my finger on the policy what’s going on throughout the industry. We’re not going to disclose kind of the trackers or the number people are talking to our LOIs, I mean that’s -- but, we’re certainly very active with that in conjunction with the strategic alliance strategy on the pass side which I kind of uses together and on the FX front, we make a pretty conservative effort to highlight that roughly 20% discount that international travelers would get come CMH this winter and I think that’s one of the things that help mitigate incredibly challenging year up there and that’s something if the Canadian dollar stays price how it is that will continue to be for next season and try to take advantage of that with respect to both CMH and Tremblant.
Thomas Marano: I think in particular with respect to Tremblant that was leveraged not only on the cost -- the value of staying up in Tremblant but it was leveraged throughout the resort in the retail area as well. So it’s hard to point to exact statistics, but we did see some improvement in Tremblant and I believe it was related to the [indiscernible].
Operator: Thank you. Our next question comes from Bob LaFleur with JMP Securities. Please proceed with your question.
Bob LaFleur: It’s probably a simple explanation to this, but I’m looking at the same-store RevPAR growth 9.5% and then same-store lodging revenues up 2.9%, so obviously there was some leakage there. Just wondering, what’s going on there? Stun silence.
Travis Mayer: We’re checking. Yes I think that the difference Bob is because we run so many condominium hotels. The RevPAR was up a little bit and we had interesting mix issues with between the owned properties and the condo hotels, but I want to dig a little bit more on that one. I’ll get back to you.
Bob LaFleur: And then I have a different question, can you just go over for us again the economics of multi-owner season passes, so if you sell a season pass for just makeup a number $100 and half the visits are used at your resorts and half are used at another resorts, is that split based on usage or is it preordained or just walk us through how that works please?
Travis Mayer: Yes, most of our agreements are the revenue share based on usage. There’s a couple minor obsessions, but that’s generally the real. So on your example, if someone paid $100 basically 10 days, five in each person will get 50 bucks.
Bob LaFleur: So you kind of then have to sort of wait till the end of the season to divvy up the revenues, right because you don’t really know how many times that person’s going to ski, correct?
Travis Mayer: In the product, there we have a lot of historical experience. We have a pretty good sense to how many times a person’s going to ski between years, it doesn’t deviate that much maybe a couple of visits. I mean we have a pretty good sense of the split between resorts, so those who want, we gave it up cost time then we may be true it a little bit at the end of the year.
Operator: Our last question will come from Chris Woronka with Deutsche Bank. Please proceed with your question.
Chris Woronka: I want to ask you about go back to the real-estate development. I don’t know if you mentioned time share all that much at this time and I wanted to see your thoughts are regarding potentially partnering with some of the established companies and then also in terms of how much capital you might be going to make on balance sheet, is there some kind of maybe strike zone where you’re lot of over serving out or above that amount you need a partner? Just trying to get some parameters around that. Thanks.
Thomas Marano: Sure, first of all, on the time share space. I would tell you that I have with me a number of calls from people who are in the time share industry. They’re running other companies and one of the things they frequently ask about is would we consider time share at our resorts from them in addition to our own product. And my view is, yes I would and but I believe is happening is there’s basically not enough time share units for some of these companies as few resorts. They have lots of stuff in one weather destination, but I think the reason why a number of them are asking us is they have customers who want to have access to the ski resorts. So, with the right deal, I would absolutely do that with someone else in addition to our team as far as the second part of your question on how we would do the real-estate development or how we would finance it we have access to a lot of cash okay and there is also a lot of engineering going on in the capital market to finance hotel projects and other real-estate projects, So I would honestly wait until I make my decision on which product and then I will weigh how many products I want to do at the same time and distribute the capital according to return and towards whatever financing alternative I can get at the time which is best. So I’d like to have any answer for you now but I think it’s going to depend upon what happens with the market over the next year or so.
Chris Woronka: And then a quick one on your I guess customer profile, do you guys have a number of what percentage of visits your Colorado resorts are from folks that reside in the East?
Travis Mayer: We don’t, we haven’t put out the origin data by resort or by region. We try to avoid giving out level of granularity for competitive reasons.
Operator: Thank you. At this time, I would like to turn the call back over to Mr. Marano for any closing comments.
Thomas Marano: I just would like to again apologize for the difficulties we had in the beginning and I want to thank everyone for joining us. I know we kept you longer than you probably wanted to, so with that I’ll let everybody go. So thank you again and appreciate your interest in the company.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your lines at this time and have a great day.